Unidentified Company Representative: Good afternoon, everyone. This is , the Treasurer of SOL. I'd like to extend my gratitude to our investors and analysts for your attention to SOL's Conference Call for its Q2 Earnings Results. For this conference call, our CFO, , IR team leader  and the team members joined. First I'll take you through the highlights of our second quarter results. SOL achieved CAD1.7 trillion of operating income in Q2 2022. Thanks to greatly improved profitability of all business segments, including refining, petrochemical and petroleum- based  oil. Quarter-on-quarter income increased significantly by 29%. Due to the recent outlook for global recession and the high oil price, there are concerns over sluggish demand. However, demand for refining products is resilient enough to recover to pre-pandemic level. As demand recovery for jet fuel is maintained at satisfactory level, global demand growth for oil is expected to hover above pre-pandemic level this and the next year. Moreover, on despite the spike in second quarter , we built the shortage of a refining capacity that global refining industry faces. Larger scale shut down of our refineries during the pandemic removed the supply clot in the short period while highly upgraded refining facilities were in operation at full capacity. As investment in refining facility requires a large fund with long payback period, recent energy transition trend is likely to discourage new investment resulting in capacity shortage in the coming years. Based on the differentiated income generation capability and the favorable market environment, the company will strive to achieve new growth engine in the face of energy transition era in an effort to enhance the shareholder value in the short and the long term. JW  will get into more details with the following slides. Thank you.
Unidentified Company Representative: Good afternoon. I'm JW, the leader of IR team. Before we begin, please be noted that Q2 financial results are provisional and thus results are subject to change after external auditor's review. Let me start with the second quarter performance and outlook for the next quarter. Please refer to Page 5. In the second quarter, the company's revenue jumped to CAD11 trillion and CAD442.4 billion up by 23% from the previous quarter; thanks to sales price increase, driven by solid international oil price. Operating income, stood at CAD1.722 trillion up by CAD390 billion from the previous quarter. Despite CAD200 billion of quarter-on-quarter reduction in inventory-related gain, strong international refining margin drove 20% of the quarter-on-quarter income growth in refining business. Petrochemical business shown and the income of loop-based oil business climbed up by 32% from the previous quarter. For your reference, inventory related gain on the back of oil price increase is a CAD357.9 billion. For finance and other income, FX loss was CAD271 billion due to increased $1 rate. Income before tax was up by 17% quartet-on-quarter posting CAD1.399.4 trillion one on the back of improved operating income. Next financial status; despite increased working capital driven by oil price hike, cash balance in the second quarter end was maintained at similar level with the first quarter end due mainly to increased income with the strong margin. Additionally, increasing equity on the back of rise in retained earnings reduced the debt to equity ratio from the first quarter end to 57.5% at favorable level. In terms of profitability, annual ROE and ROCE recorded 48.5% and the 38.2% respectively at high level, thanks to enhanced operating income. EBITDA recorded CAD1.533 trillion. Moving on to the performance and outlook for each business on next slide. First, refining business. Second quarter operating income of our refining business stood at CAD1,444.1 trillion posting a 20% quarter-on-quarter increase Singapore refining margins skyrocketed to average $20.08 per barrel, compared to $4.01 in the last quarter. The hike was driven by limited supply that failed to keep up with robust demand as diesel inventory hit a 14-year low with globally low inventories of other refining products. Supply was reduced due to embargo imposed on Russian fuel and intermediary products and lowered export quota of China based on its energy security policy. However, the demand remained healthy, thanks to East COVID-related restrictions of countries around the world. Overall rise in second quarter refining margin was largely led by widened spread of transportation fuel such as gasoline, diesel and jet fuel. Gasoline and diesel spread over Dubai crude increased to average $29.08 and $51.06 respectively in the second quarter from $15 and $21.07 into previous quarter. Extremely tight supply on the back of low inventory and prolonged war between Russia and Ukraine drove the unprecedented rise. Next outlook for the third quarter. In the third quarter, refining margin, which hit the highest is in downward correction from July and appears to stay volatile for the time being, but magnitude of the recent fall appears to be slightly excessive compared to market fundamentals. The margin is projected to remain high above previous level after going through a short term correction of tight supply in the global refining market persists. Lower end of the chart shows the Singapore margin. Five-year average margin stayed around $2.50 per barrel, except for 2020 when the pandemic hit and the previous high was around the CAD5 per barrel. Up to date, average Singapore margins still remains above the previous level at CAD10.05. Among products, diesel is projected to lead the strengths in refining margin. Diesel spread is maintained at high level with CAD30 to CAD40 in July though it was corrected downward compared to the unusual high market in second quarter. Inventory pile up of diesel and kerosene for heating proposed in the winter is likely to put upward pressure in diesel spreads. Moving on to petrochemical businesses; petrochemical business in the second quarter swung back to profit compared to the first quarter, recording CAD18 billion in operating income amid slow demand due to China's lockdown. For  spread in Q2 widened significantly from the previous quarter to CAD388 per tonne. The steep hike is owing to the tight supply of refining product and the gross gasoline blending demand for intermediary product such as Tolin  in the face of summer driving season, while supply was limited due to unplanned outage and schedule T&I of several regional refineries. TX spread in Q2 -- in the third quarter appears to stay healthy in the summer months, due to demand for gasoline blending, but fluctuate more toward the quarter end with the start of a new capacity in China. For olefin products, demand for PP and PO in the second quarter was varied with lockdowns in China to contain the spread of the pandemic. PP spread, slightly widened quarter-on-quarter as PP facilities in China reduced the surplus due to profit decrease while peer spread hinted down due to the start-up of new facilities. In Q3, PP and PO spread are projected to improve gradually with easing trend of pandemic restrictions and the stimulus package of China. Turning to lube-based oil business; operating income of lube-based oil business was up from the previous quarter by 32% posting CAD258.9 billion. For market dynamics in the second quarter lube-based oil fundamental improved on the back of solid demand added by driving season and tight supply driven by reduced operation rate of LBO facilities to increase the yield of diesel amid strong margin. Lube-base oil spread was under rise with a strong fundamental as product prices caught up with big stock price hike in the previous quarter. In the coming third quarter, stable demand is expected to continue through the second half and LV fundamental is likely to stay firm as several refiners are likely to limit their supply due to scheduled maintenance and ongoing war between Russia and Ukraine. Moreover, LV spread is projected to the same current level amid sound fundamentals or widen at bid stock prices stabilizes lower recently. Now we would like to give updates on our key business. Refer to Page 11, please. First, demand recovery of our refined product, with recent price hike and the wars over recession, international crude and futures market became more volatile causing concerns over global demand to slow down. However, demand for refined product is showing resilience with post pandemic demanded normalization under easing restrictions, strong seasonal upswing in the summer and the winter months and globally unprecedented level of mitigation measures for international oil prices. Global oil demand gross outlook for this year made by major financial institutions stays between 2.2 million BD and the 3.5 million BD exceeding pre-pandemic average of 1.3 million BD. Demand outlook for 2023 is also higher than pre-pandemic level. Gross and recovery momentum of global oil demand continued through the year at a bit slower speed. The upward trend of this next year is mostly driven by jet fuel demand, which is on the recovery track, coupled from oil price owing to the rebound of air travel demand. In 2022 and 2023, two million BD of jet fuel and the kerosene demand is projected to be added to global market compared to the previous year. For gasoline and diesel, governments around the world, including the US are controlling consumer price in an unprecedented form, such as tax cut, as institutes analyse that around 50% of gasoline and 70% of diesel volumes sold the world are subject to mitigation measures in the form of a price ceiling or tax cut. Thus consumers are less -- feeling less pain with restricted increase in oil price, mainly contributing to the global recovery of oil demand. Next, refining facility shortage; the class of demand and the refining margin during the pandemic led to the shutdown of refining facilities with a 3 million BD capacity in the last two years. The pandemic accelerated massive refinery rationalization, which usually takes much longer. Refining industry evaluates that this contributed to the healthy recovery of supply-demand balance in a relatively short period. In addition, global demand growth is expected to outpace net capacity expansion for the coming years with less investment in refining facilities. Including this year, net capacity expansion of a total 4.1 million BD is anticipated until 2024 while demand gross outlook ranges from 5.6 million BD to 8.2 million BD. It usually takes from 10 months at minimum to two years as maximum for new facility to run at full capacity after the start of commercial operation. Thus the impact of the supply from new facilities, which are scheduled to enter the market for the next three years, appears to be gradually seen. According to the industry outlook, plans for massive capacity expansion is rarely found after 2024 on the back of the global greenhouse gas reduction and energy transition. Investment in refining facilities is shrinking as it requires massive funding and a long payback period. That is why the industry views of the long-term supply growth is a lesser threat. As the industry is influenced by seasonal swings in demand and volatile annual supply volume due to regular maintenance, while the fluctuation in refining margin may appear frequently with unbalanced supply-demand in the short term temporarily. However, I would like to emphasize that refiners are positioned to benefit from margin trends in a stable manner compared to the previous cycle under current market environment. Last is the profitability of enhancement; profitability enhancement by ROC and ODC. The company is equipped with a facility competitiveness that enables us to deliver greater performance than other refiners by making the most out of the strong refining margin. The company's ROC and ODC strongly improved the margin generation capability. In the second quarter, the price of High Sulfur Fuel Oil or HSFO, which is the fit stock of ROC and ODC plumed while gasoline margin remained high. This is significantly widened the profitability of ROC and ODC. In July HSFO spread over crude plunged to minus CAD30 sending net refining margins down to negative range. Less competitive regional refiners with a simple complex is getting pressure to reduce run rate under current margin structure. But the company like Sol is maintaining refining margin at healthy level, despite recent downward correction in the market, as it's highly complex facilities are upgrading entire HSFO volume, taking advantage of sound upgrading margin. With our highly competitive facility, the company will generate exceptional and stable performance continuously. With this I'd like to wrap up the second quarter earnings result. Thank you.
Operator:  The first question will be given by  from JPMorgan. Please go ahead.
Unidentified Analyst: Hi, thank you for the chance to ask questions. This is Ashley. I have three questions. The first question is on your refining division. So recently refining margins have fallen quite sharply and there are headlines about some of your peer refiners considering altering their view of cutting rents or lowering utilization rate. So could you give us an update on FO  situation in your third quarter and fourth quarter utilization rate plan? The second question is on your mid-to-long term strategy, could you give us an update on the project, for example, your current expected CapEx, capacity types of downstream products, expected return etcetera, and therefore, can you also tell us your 2022 to 2025 free cash flow and dividend outlook? And the third question is, could you give us some color on the amount of opportunity costs from maintenance that you booked in second quarter, as well as the one-off cost from the fire at the Olsen  plant that happened in May? Thank you.
Kevin Taylor:  So to your first question on the refining margin, which has tumbled recently, and our outlook on our throughput rate, well, as I said in my presentation at the outset there is some downward pressure in the refining margin. However, I would like to note the fact that the company's complex refining margin stays at a healthy level, and therefore we do not have any plans to adjust our throughput at the moment. So as for the refining margin outlook, as you know, the margin has seen some downward correction in July. The average throughout the second quarter of the Singapore complex margin was CAD21, but it has tumbled to $10.05 in July. I would like to note that the Singapore average complex margin in the last five years, excluding 2020, when the COVID hit was $2.05 and throughout those periods, the highest was $5 to $5.05, which was marked in the second half of 2017. So compare -- as we compare ourselves with the margin in the last five years, excluding 2020, I still believe that the July average is quite high and healthy. Well as for the latest in the refining margin, I do think that it's exceedingly high compared to the market fundamentals. So after this downward correction, we expect to see some rebound, both from the supply and the demand side. First on the supply side there is a deep negative in the hydro margin, with full force the less competitive refineries to downward -- to adjust downward their throughput. Also, we expect to see some turnarounds -- some turnaround in inspections towards the second half of the year, which will also bring down some throughput in the refineries across the world, which will inevitably adjust the supply side. On the demand side, as we all know, the gasoline price in the international market hit the peak in July and started to come down. However, as we all know, the gasoline price is quite elastic, which means the reduced gasoline price will be reflected in the retail, our fuel price and support the demand. Also in the third and fourth quarter, since there is seasonal high demand for the refined products due to the cold winter, there will be demand to stockpile the inventory. So this will be the favorable factor supporting the demand side.
Paul Kania: So this is CFO, JW . To answer your second question about the company's mid-to-long term strategy; so in response to the changing dynamics in the global oil market, we have this long-term growth strategy whereby we'll increase the production ratio of the petrochemical products to 25% out of the company's total production. So to meet this goal, we are preparing on those so-called  project whereby we are going to use the crude oil and the low valley off gas and also in order to produce petrochemical products. So our goal for getting the -- for making the financial investment decision for this project is in the second half of this year. And at the moment, we are in the course of finalizing the front end engineering design. So if everything goes well, the project will be completed in 2026, which will first would be the petrochemical upward cycle and go into commercial production from the second half of 2026. And I believe the  project will be very competitive in terms of both economics and the investment, because the low valley off gas offers that we're getting from our existing refinery, we will be fed into the same project  that we are going to build nearby our existing refinery. And also we plan to share the utilities and the storage facilities with the existing -- between the existing refinery and the new steam cracker and the downstream facilities. And once the board of directors makes the final investment decision, the details around it will be communicated and shared with the market in greater detail. For your third question, first of all, I would like to express on behalf of the company regress to the fact that there was an incident, a fire incident in the number two  unit in May, and that caused fatality. As was disclosed to the investors, the affected plant had been suspended of work. However, for the other nearby facilities they have been suspended of work temporarily, but have returned to normal operation. So right now the government authorities have issued the order of suspension of work to the number two unit, and we are fully cooperating and collaborating with the authorities. So in doing so, we will also find out the root cause of the incident and also come up with the measures to restore the affected unit and make sure that there's no repeat of such an incident. We're also making plans to get the government authorities of approval to uplift the work suspension order. And as for the opportunity loss and the size of damage, we are taking the procedures to estimate the property loss and the business interruption loss at the moment. But we do not expect to see a big financial loss arising from the incident. For the 60 days of exclusion period and the CAD2.5 million deductibles, other than this, the rest will be compensated in accordance with the insurance policy.
Unidentified Analyst: I am  from  Asset Securities. This is a question about the company's dividend guidelines as Mr. CFO mentioned, it sounds like the  project is a very big skill project. Would this be in the planning stage is the company's dividend guideline of 30% still valid?
Paul Kania: Yeah, well, her son  So the company  as far as our dividend policy is concerned and this remains valid. So after the financial investment decision for  project, I believe most of the CapEx will fall from 2024 and onwards. However, as you know, the company has been performing well from last year and we also expect to see a very good cycle in the refining business. Therefore, with the very stable financial structure, we'll be able to keep our dividend payout ratio while at the same time enhancing the shareholder values. So to summarize, despite the  project, we'll be able to maintain our dividend policy guideline of keeping their dividend payout ratio at the same level and as in the previous years,
Operator: The following question is by Nikhil Bhandari  
Unidentified Analyst: â¦88% and debt-to-equity to 56%. This year in the first half, the EBITDA generation is almost close to over CAD3 trillion, but the balance sheet, the gearing is still flattish at the end of first half versus end of last year. It seems like the working capital has increased meaningfully and your account receivable and inventory has gone up a lot more than the payable days. Can you give us some guide on how we expect the balance sheet getting to change into the year end? That would be very helpful. And the second question is, I'm a little surprised with your comment on diesel spreads to soften ahead of seasonal heating demand and winter. Can you elaborate that because I was thinking with gas, so tight, diesel may have higher bid going into the heating season as an alternate heating fuel. So I'm just curious to understand why you think diesel spreads will soften ahead of the seasonal heating demand in winter. Thank you,
Paul Kania: So as was presented in our presentation, the company's EBITDA in the second -- in the first half of this year has gone up significantly, but at the same time, we like to emphasize the fact that the oil price has made a significant jump compared to the end of last year. So despite our great earnings, this has put a strain on our cash and has been a burden on our cash flow -- has put a strain on our cash burden. So, however, since the equity went up, we were able to keep the gearing rate or the debt to equity ratio as below 70%. And assuming that the oil price will remain at the current level, we expect the gearing ratio to stay at the level that we saw at the end of the first half of the year. Regarding the increase in the working capital, as my colleague mentioned, it was largely due to the oil price increase, but I will also like to take note of the fact that there was the tax payment, which was deferred by the Korean government last year. So that amounted to CAD8 billion, which was a cash-out on the company and also in June, we had less crude oil lifting because of the turnaround in inspection and the maintenance, which brought down the shippers credit, but this is only a one-off event and we expect to see the burden to ease in the second half of the year. As for the diesel spread, it hit an all-time high of $63 in June and then since then it's all come to CAD30 to CAD40 level in July. However, if you look at the past five-year average excluding 2020, it marked at around $12 to $13, which means the July level is still very high. And as for the diesel demand, usually the demand tends to soften particularly in Southeast Asia and South Asia, where there's a monsoon season in the summer. So overall it's quite slow. However, towards the end of the year and the winter season, there is a demand to stockpile diesel, which will possibly support the diesel spread and from geographical perspective, there's still uncertainty around the Russian gas supply to the European continent. So unless this risk is dissolved, I think there is also a possibility of strong demand picking up for the middle distillates, which are diesel and -- which was diesel and kerosene. So on the supply side, we -- there is an outlook of a downward pressure on the spread as some of the regional refineries will start up their facilities or in the third and fourth quarter. Also however, there is a global turnaround in inspections of refineries in the fall season, which could normalize some of the excess that we put that is existing in the market. And according to the market intelligence that we obtained in the middle of July, it is said that the physical delivery of Russian crude oil, the Russian diesel could be sanctioned and could be banned from the ICE market from the end of -- from the ICE trading market from the end of November, this is for the diesel features. This will come in advance of the European continent's full sanctions on importing Russian diesel, which will fall in February next year. So if this happens, this could create some demand for stock piling of the non-Russian diesel. So even if there's some downward correction in the spread, there is the market forecast that the diesel spread in 2023 and 2024 will still be higher than the average in the past five years. That's all I have.
Operator: The following question is by  from Shinhan Financial Investment. Please go ahead.
Unidentified Analyst: This is from Shinhan Financial Investment. Thank you for the opportunity to pose a question. First is about the oil price. Oil price seems to be coming down slightly. What is your outlook for the second half of the year and the whole year of 2023? And also your outlook on the OSP in the second half of the year where OSP is picking up these days? As for the inventory in Q2, could you break it down between by business segment?
Paul Kania: So as for the oil price, it has a big impact on the macro economy as an indicator and lately, we're seeing a lot of volatility in the oil features market. So as the company, we do not make -- we do not make some forecasts or give any outlook on the oil price. However, as you know, the Dubai benchmark average at CAD113 in June. And if you look at the latest outlook by the institutions in the market, it is in between the range of CAD100 to CAD110. Well, there are some outlook shortage issues will keep coming out in the market as we move towards the end of the year. This is for a number of reasons. First of all, the oil producers, particularly the Middle East, they're still very limited in how much more they can produce raise in the output. And there's also the news that the US government which is tapping into the strategic controlling reserves of around one million barrels a day, which started in April, they are going to close it at the end of October this year. And also there's a news that the European continent will impose a full ban on the seaborne importer of Russian crude oil from the end of December this year. So if you look at all these factors, I think the supply issues around the market will still remain. Well as for the OSP, which is the Saudi crude, the policy by the seller, not to share their OSP setting logic with the market or with the buyers. As you know the OSP has been going up recently for a number of reasons versus the war in Ukraine and also there is some supply interruptions from Libya because of the political unrest and also the final margin increase you had has skyrocketed, knowing the fact that the margin in Q2 has gone up substantially high compared to Q1, I think a higher OSP is a natural course of action. As for the OSP increase, it will be reflected in the company's on July and August listing, and it'll be reflected and as a result of that, it'll be reflected in the company's Q3 performance. As you know, the refining margin has gone down in July. However the complex margin of the company is still very strong and even the downward correction of the company's margin compared to the refining margin in the market is quite moderate. So even if the OSP is up, we have, our outlook is that we'll be able to maintain a fairly strong profitability. If you look at the structure whereby the OSP is set, it reflects mostly the time spread of the divide benchmark, which is extracting the price of the near month which is extracting the price from the near month to the price of the far month. So time spread one, buy one title, poor, a buy Given the fact that the time spread makes the correction between the difference in how the Saudi crude oil and the Dubai crude oil price is set, I don't think this itself is a factor that causes the refining margin to go down. If you look at the July and August average time spread, it is a dollar higher than the previous month, and this gives the possibility that the OSP could go up slightly more in the future. However, given the fact that the refining margin in the market has recently gone down, the time spread increase may not be fully reflected in the OSP in the future. If you look -- if we break down the valuation gains in Q2 by business segment, it's CAD390 billion in the refining business segment, minus CAD12 trillion in petrochemicals and CAD28 billion in based oil business. If you look at the whole half year including Q1 and Q2, it's a total of CAD970 billion across the three business segments, but if we break it down, it's CAD840 billion for the refining business, CAD54 billion for the petrochemicals and CAD72 billion the lupe oil business. This answers your question.
Operator: The following question is by Desmond Law  from City. Please go ahead.
Unidentified Analyst: Yeah. Hi. This is Oscar here, actually. I just had one very quick question since most of the questions already have been asked and thanks for the very detailed explanation on the OSP. So I just ask you for your 2Q operating profit, how much of that is the positive FX impact from the Won weakness? Thank you.
Paul Kania: Sorry, but could you repeat your question? I could not hear it well.
Unidentified Analyst: Sorry. My question is what is the positive FX impact on your OP side from weaker volume?
Paul Kania: So as for FX impact on the operating side, in Q2, the FX gains on the operating side -- operating income side was CAD275 billion. However, we sustained a similar amount of FX loss on the non-operating side. This is -- so this indicates that we were able to hedge our FX risk according to our FX policies. So if you look at the income before tax, I would say that there is a good neutralization between the operating income and the non-operating side.
Paul Kania: The schedule time is up. So allow me to close the conference call for the Q2 earnings. I would like to thank you all for joining us, and if you have any further questions or inquiries, please feel free to contact IR team. Thank you very much.
Operator: This concludes the fiscal year 2022 second quarter earnings presented by SOL. Thank you for the participation.